Operator: Welcome to the Alexandria Real Estate Equities Inc. First Quarter 2016 Earnings Conference Call. My name is Craig, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now like to turn the conference over to Paula Schwartz. Please go ahead.
Paula Schwartz: Thank you, and good afternoon everyone. This conference call contains forward-looking statements within the meaning of the federal securities laws. The Company's actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the Company's periodic reports filed with the Securities and Exchange Commission. And now, I'd like to turn the call over to Joel Marcus. Please go ahead.
Joel Marcus: Thank you Paula, and welcome everybody to the first quarter Alexandria call and welcome everybody. And with me today are Dean Shigenaga, Peter Moglia, Steve Richardson, Tom Andrews, and Dan Ryan. And I want to open up as I always like to do to congratulate the entire Alexandria family for another strong quarter operationally and financially. Also want to recognize the passing of Rich Jennings a long time director of Alexandria, who passed on February 28th after our last earnings call. And Rich was such an important influent on the development of the company and we're going to miss him a lot. Let me start right away. At a recent investment conference, I presented kind of key three -- three key takeaways for 2016. The first thing that our markets are continuing to stay rock solid with strong demand, a little bit or no supply, rents up over the past year about 15% and continuing high occupancy. Secondly, our highly preleased value add pipeline, which will continue to drive growth in earnings and decrease in the leverage where we've also been able to achieve significant yields is really key takeaway two. And then number three would be fundamentals are really overtaking sentiment in the life science factor. And so far as the tactical ground level as I mentioned there are no cracks. Novel and innovative bio- pharmaceutical products will be the key to managing the cost of chronic disease. The core quickly continued very strong performance in our urban innovation cluster markets. We have a strong 6.2% cash same store NOI growth, strong occupancy of $97.3 and continuing strong margins. On the leasing side again, in virtually all of our markets, very tight and we're seeing strong demand and good performance. We leased about 390,000 square feet this quarter, down from other quarters because we're having less space to lease due to high occupancy, at about 17% cash rent spreads, contributed heavily by Cambridge, San Francisco, Seattle and Research Triangle Park. Important to keep in mind 52% of our total ABR this quarter from investment grade tenants, so very strong underlying credit to our cash flows. When we think about underlying tenant demand and tenant health, we see that that continues very strong. In the greater Boston area, 97.6% occupied and again very strong demand. We believe that 100 Binney and Longwood will be fully spoken forward here pretty quickly. On the San Francisco side, we're 100% occupied. We're continued to see strong life science and demand from credit tenants particularly, and also very strong tech demand and we're proceeding on our build-to-suites at various stages for Uber, Pinterest and Stripe, and as some of you know, Stripe was featured on 60 minutes on Sunday night. In New York City we're moving to a 99 plus percent occupancy. Again, more demand there than we have space available. San Diego, we've got some roll. We're about 94.5% occupied but the Nodulus [ph] campus availability of 77,000 square feet I think will be fully spoken for here pretty momentarily. Seattle at 99.2% occupancy, again strong continuing demand from both the tech and life science sector. Maryland 95.9% occupancy, solid demand, better than we've see over the last decade, and in RTP were 98.6% occupied, very strong demand and most of the remaining space will soon be spoken for. On the development asset side, we're pleased to be realizing NAV at this stage of the cycle on our 2016 deliveries. We're 90% leased, 95% leased or negotiating, and as we've indicated in the sup, we expect $75 million to $80 million of incremental annual NOI and yields generally, initial cash yields of generally 7% or north of that. Our 2017 and 2018 deliveries were up to 72% leased and 84% leased or under negotiation, and our estimated annual incremental NOI about 120 to 130. And that's been increased due to Vertex build-to-suite in San Diego, again initial cash yields averaging about 7 plus percent. With respect to the life science industry, a recent report by United Health Foundation concluded that an astonishing -- this number is truly astonishing, 72%, almost three quarters of American have at least one of the five most impactful unhealthy behaviors. So pay attention here; smoking, physical inactivity, insufficient sleep, excessive drinking or obesity. And these combine to be the primary contributing -- among the primary contributing factors to extraordinary rise and continuing increase in healthcare costs. Self-discipline and smart wellness and prevention could make huge inroads in managing these healthcare costs, also innovated by biopharmaceutical products which changed the face of disease, ease suffering, create happier and healthy lives and extent lives, clearly are part of the answer here. And then finally before I turn it over Dean, who is going to take a deep dive on the balance sheet, I'd like remind everybody that bio demand for our assets is strong and we expect to continue to recycle assets to fund our first-in-class development pipeline. I think you'll see continued announcements, probably in the June time factor and Dean can highlight a little more about that. So, I'll turn to Dean Shigenaga
Dean Shigenaga: Thanks Joel, Dean Shigenaga here. Good afternoon, everybody. Again I've got three important topics to highlight today. First, consistent execution and strong results, driven by solid fundamentals, continued asset recycling, and then lastly our funding strategy and prudent management of our balance sheet. Starting with our consistent execution, quarter to quarter and year-to-year, really driven by our unique business strategy and solid fundamentals in our best-in-class team. As Joel had highlighted, fundamentals remain solid, both for our business and the life science industry. Rental rate growth was very strong, up 33.6% and 16.9% on a cash basis. Tenants continue to evaluate early lease renewals one to two years prior to their contractual lease exploration date. And as a reminder, we are operating in a very supply constrained and strong rental rate environment. Same property cash NOI growth continued its strong trend with cash NOI growth of 6.2%. Key drivers include our triple net lease structure and high quality tenant roster which drives quality and stable cash flows, and contractual annual rent escalations approximating 3% per year drives consistent growth in cash flows. Occupancy was very solid at quarter end at 97.3%. Continuing into our ongoing asset recycling program, we have three categories of funding for 2016, excluding debt funding from construction loans and the unsecured bond market. At the midpoint of our guidance for 2016, we have approximately $630 million of capital needs, primarily for our accretive development pipeline, and this is beyond debt, including $350 million of real estate dispositions, $154 million for acquisitions and $125 million of other capital and/or sales of equity investments. At a very high level, we have identified approximately one quarter of this $630 million, primarily related to the announcement of our plans to monetize our real estate investments in Asia. We also have identified another one half of our $630 million target, and these sales are at various stages, including one key joint venture deal that should be under LOI shortly. Since these transactions are in process and have not reached the criteria for classification as held for sale, we have limited information we can share today, but do plan to provide detailed disclosures as appropriate in the future. This leaves us with about one fourth to one third of the $630 million to identify ourself over the next couple of quarters. So we feel good about where we are in early 2016 with our funding outlook for the year. Turning to Asia, on April 22nd, the Company committed to the monetization of its investments in Asia over the next 12 months, and obtained approval from our Board of Directors to proceed accordingly. Our cash deals and our investments in India were reasonable and generally in the 10% to 12% range. However, we’ve recognized impairment charges in March and April aggregating $181.9 million, including consideration of foreign currency exchange losses of $49.8 million. We believe this highlights a unique situation of real-estate generating solid yields with high quality multinational credit tenancy, the names of Novartis, Glaxo and others. However, valuations today in these developing international markets do not appropriately value these attributes. More importantly, we believe it's prudent to move forward with the recycling of this capital for investment into higher value Class A developments in our key urban innovation clusters. Our estimate of proceeds from sales is just north of $100 million, and we expect to complete these sales over the next 12 months in up to seven to 10 different transactions. As of today, we completed the sale of one land parcel at a price of approximately $7.5 million. While we have no other binding sale agreements today, certain investments are under review by potential buyers. As we advance each transaction, we will provide appropriate detailed disclosures. It's important to note that our detailed balance sheet and operating information disclosures on page 51 of our supplemental package. There you will find disclosures of our operating results that reflect our investments in Asia generated an FFO loss of approximately $53,000 for the first quarter of 2016. As a result, the sale of Asia is the equivalent of the sale of land, and will generate important capital for investment into our highly leased development pipeline with cash yields of approximately 7%. So moving on to our prudent management of our balance sheet, I just want to start with our at the market program, what we issued in the first quarter and our plans going forward. During the first quarter, we raised about $25 million under our at the market offering program and used the proceeds to improve our all in balance sheet leverage, including preferred stock. We repurchased open market transactions of approximately $23 million at par value of outstanding 7% Series D preferred stock. As of March 31st, we have about $214 million of Series D outstanding, down from the $250 million initially issued. Our repurchases to-date have been executed at prices of less than $28 per share. We believe the use of a modest amount of equity capital to retire a portion of this 7% convertible preferred security in the first quarter was prudent. While it's still attractive to retire additional Series D preferred stock at market pricing today, the price of Series D has been tracking the movement of our common, and lately has been trading just north of $30 per share. So our decision to use equity raised at $88.44 per share in the first quarter to repurchase Series D at $27.49 per share resulted in roughly 5% less common shares required versus executing the repurchases of Series D today at a price of roughly $30 per share with our common stock today trading in the low to mid-$90 range. Purchases to-date, over two quarters have been completed at prices roughly neutral to FFO per share and positive to all in leverage. Our 2016 guidance assumes no further purchases of our 7% Series D convertible preferred. However, we will continue to look for opportunities to repurchase outstanding shares from time to time. Going forward, our strategy is to continue to focus on ongoing growth and FFO per share and net asset value and remain disciplined in funding growth through our highly leased development pipeline with various sources of long term capital. Turning to leverage; our net debt to adjusted EBITDA was 7.4 times for the current quarter annualized, 7.2 times for the trailing 12 and was in line with our expectation. We are on track to improve net debt to adjusted EBITDA and hit our range of 6.5 times to 6.9 times by year-end, and this is on a current quarter annualized basis. We are also focused on improvement in our net debt plus preferred to adjusted EBITDA as shown by our $23 million reduction in our 7% convertible Series C preferred stock, with proceeds from our ATM program. We also remain focused on the ongoing improvement in both of our investment grade credit rating and our long-term cost of capital. Lastly, a few other highlights. We’ve had very limited debt maturities till 2018. We anticipate $150 million to $200 million reductions in 2016 related to outstanding borrowings under our unsecured term loan, with a maturity date in 2019. Additionally, we are in the process of extending the maturity date of our unsecured line of credit from 2019 to 2021, reducing pricing by 10 basis points and further extending the weighted average remaining term of outstanding debt. We have significant liquidity, which we believe reduces risk and allows us to be patient and flexible with the timing of capital events. As of quarter end, we had about $2 billion of liquidity including a $304 million secured construction loan that we closed in April of 2016. This loan will provide significant funding for the construction of 183 Binney Street in Cambridge, anchored by Bristol, Myers Squibb, again a very high quality global bio-pharma company. We executed additionally interest rate swaps aggregating $500 million, and we continue the disciplined management of our value creation pipeline and are on track to further reduce our pipeline as a percentage of gross real estate towards the 10% range by the end of the year. We also continue the disciplined allocation of capital into our value creation pipeline, averaging 90% leased for deliveries expected this year, 81% leased overall, inducing primarily deliveries in 2017 and one project that will be delivered in 2018. In closing with guidance, the detailed assumptions underlying our guidance for 2016, are included on Page 6 of our supplemental package. And just want to remind everybody, our unique business model focuses on class A assets and triple A locations in urban innovations clusters, and continues attract some of the most highly innovative and successful companies. Additionally with our best in class team, we look forward to consistently executing and delivering growth in FFO per share and net asset value, quarter-to-quarter and year-to -year, while we also improve our credit profile and long term cost to capital. With that I’ll turn it back to Joel.
Joel Marcus: Thanks Dean and, operator, you can open up lines for Q&A please.
Operator: [Operator Instructions] And our first question does come from line of Manny Korchman with Citi.
Manny Korchman: Joel, maybe I'll turn this one to you. There have been concerns about some of the higher technology markets, mostly on the West coast but sort of around the country. What are you seeing from tenants and maybe especially, what you're seeing from their financial sponsors and how they're thinking new space and expansions?
Joel Marcus: Are you talking about tech tenants?
Manny Korchman: Both on the tech, for you guys both on the tech and life science if you would?
Joel Marcus: Well think on the life science side, we’re seeing a continuation of what we've seen, certainly over the last number of years, and that is both high quality credit tenants moving into the clusters, establishing bases and continuing to expand. A great example is our Bristol Myers, at a 100 Binney bringing a footprint into Cambridge, IBM Watson recently coming into our, part of our 751-125 Binney, I think there is no shortage on the life science side. Because of the nature and the DNA and the ecosystem, they want to be in the best cluster locations. And I think it’s clear that Cambridge, San Francisco and South San Diego, Seattle, New York city remain the top spots for those clustering on the tech-side. Maybe I’ll ask Steve to give some off data, a bit in the bay area.
Steve Richardson: Hi Manny it’s Steve. We do continue to see a healthy, it’s not historic demand. We’re tracking about 6 million square feet in the San Francisco market. Right now we’ve got six tenants looking for more than a 100,000 square feet, 23 tenants looking for more than 50,000 square feet. We’ve got a vacancy rate in some of 3.7%. You had a number of sublease transactions that reduced the sublease space to about 1.6 million in the market, which is right where we were at the beginning of 2015, with great tenants taking additional space and expanding. So we see it healthy on both sides. We just add to the life science, in particular in a bay area, you saw the recent announcement with Stemcentrx bring purchased by AbbVie, in excess of $10 billion and a very public pursuit of medivation, which is in our Mission Day building in Illinois by Sanofi. So very healthy capital markets on the life science side for sure.
Manny Korchman: Great thanks, and Dean, maybe one for you, when you think about sort of the volume of the ATI measurements in the press data, what criteria do you put out there to figure out how much ATM to do or how much pref to retire?
Dean Shigenaga: Manny, the challenge I think with Series D is the -- it's a very institutionally held security. There is probably a little bit of retail in there but, I think what I've shaken lose to date has been primarily retail, and the institutional ownership is probably fairly sticky. And so as a result I thank most of the activity will be relatively small as we can unwind and in an institutional position. So it’s more dependent on that Manny, and when we saw pricing dip into the sub $28 range, we felt it was prudent to try to tap some. It’s still attractive as today’s pricing. We'll see were we end up over time, because I think we'd like to unwind a little bit as we go.
Operator: And our next question does come from line of Kevin Tyler with Green Street Advisors.
Kevin Tyler: Joel, can you take us through the process a little bit, fall around Manny’s question, when you're deciding between tech and life science tenant, if both are interested in one year spaces, do you find you get more of a network effect perhaps from the tech tenants today, given you have a higher concentration on the lab side?
Joel Marcus: Well, I think the answer to that and maybe the Uber land at Mission Bay was a good example. I think we for many years believed that Mission Bay would become an intersection of life science and technology, in that campus area and certainly because of the synergies between the two, but it wasn’t until Uber really intersected with us, did that really become a reality. And I think having done Uber really opened up the, I think what we, what our capabilities where as a company and the execution and skill and capabilities as we began to expand our Mission Bay into the summer [ph] area. So I think to me, that’s a great example of that happening on the ground.
Kevin Tyler: Okay. And if you were choosing like for like though, at this point, would your preference still be for life sciences or if you had similar terms -- maybe it’s a difficult question to answer, but I guess if you had two high quality tenants, how do you think about one versus the other life sciences?
Joel Marcus: Yes. Well good example is that very issue at Mission Bay on those parcels. There was a multi-national pharma that had -- that’s actually current client that had expressed substantial need for space. But it's inability to take all of the space totaling almost approximately 500,000 square feet and moving at a very rapid speed, really I think hindered its ability to compete with Uber. So I don’t think so much it's an either/or except in unusual cases, but where it’s happened, I think you have to look to what you can get the best execution. Obviously you have to look a credit terms of deal and so forth. There’s so many aspects. But I think that’s a good case study comparison, because it actually happened in a life science dominated market at Mission Bay.
Kevin Tyler: Okay, thanks. And then Dean, have you seen the market for construction financing? Based on recent experience in Cambridge, it looked like plus 200 terms for the construction loan at Page Street were bit wider than deals in the recent past, but I was just curious if you’re seeing the lending standards tighten up a bit.
Dean Shigenaga: I’d say we've seen very good reception to construction financing, given the quality of the real-estate that we’ve been putting to the market for construction financing. I think the pricing on this transaction is more reflective of the nature of the relationship we're establishing with the new lender. It’s a pretty typical down the fairway of what they focus in on. There was an opportunity to tackle a very large financing opportunity. Typically, if we work within our bank group, I think pricing would be closer to what we achieved previously in the L plus 150 range. But I think we also have technology -- the regulatory environment today, it’s changing and putting some pressure on pricing with financing from banks, and I think construction loans fall into that category. So I’m a little off on the market there. We were really focused on building a new relationship with a premier lender to help provide large project financing.
Operator: And our next question is from the line of Dave Rodgers with Robert W. Baird.
Dave Rodgers: Maybe Joel, I just want to start with you and you can farm it out if you want. Two questions on leasing in the quarter. I think you indicated in the supplement, four leases really impacted the spreads in the quarter. I don’t know if you can provide any details on that, in terms of who or where, but that might be interesting. And then I guess the second one on leasing in the quarter, did you contemplate going direct without the bet, or was there was something about that sublease that didn’t make sense?
Joel Marcus: Yes. So I’ll maybe do the first one. I’ll ask Steve to address the second. So on the leases that drove our leasing stats, Cambridge and San Francisco were the most contributory, as I mentioned and then Seattle and RTP also were contributory. But I think Cambridge and San Francisco certainly won that day. With respect to the sublease, Steve you can give a bit of background.
Steve Richardson: Hi Dave, it’s Steve. Yes, they had towards a market, we were certainly involved in every step of the process and really active in partnership with Amgen. But ultimately from a transaction structure perspective, it made a lot more sense to stay in a sublease situation. So we’ve acted as a very proactive facilitator in the transaction, have a nice direct relationship but from a transaction structure, it just made sense to go the sublease rout.
Dave Rodgers: Great thanks for that. And then maybe the 2017 expirations that now show up in the supplement, two bigger groupings of expirations for ’17 I guess in San Diego and in Cambridge. I don’t know if Tom wants to comment or Joel you can throw in there. And big or large blocks of space coming up that we need to watch for and a fairly low percentage so far of already negotiated or anticipated leases. So do we expect a lot more leasing activity that need to be done for those spaces as we go into ’17.
Joel Marcus: Tom, you could talk you about 400 tech and 200 tech square.
Tom Andrews: Yes. So both 400 tech and 200 tech square, where we have some significant expirations, we're already very actively discussing pretty much all of what's scheduled to come available next year. In 200 tech it's pieces of the Novartis premises, and we are actually very close to batting up a lease transaction that will take that space out of play. And then in 400 tech square we have one particular tenant with a calendar 17 expiration who has an extension right and they've asked for a couple more months to exercise that right, because they have a significant milestone to achieve or not. If they achieve it, they may need more space, if they don’t achieve it, they'll stay in the space and extend. So we're very comfortable, given the leasing activity in Cambridge with a near to zero vacancy rate that we'll have no difficulty at all releasing that space if the company actually exits.
Joel Marcus: And Tom, do you want to comment on the other one, 215 first, we've get a role on 36,000 would come.
Tom Andrews: Yes, that one we are in negotiations with the three or so different parties right now. In terms of who might fit best in that, it's very interesting in each situation. Cambridge right now, we have -- in virtually every space that becomes available, there are multiple perspective tenants and it's a matter of winnowing through the through the most suitable and then trying to strike the transaction that's most appropriate for the landlord advancing our [indiscernible]. So I think we again don’t have any worries at all about getting that property re-leased.
Joel Marcus: Yes, other that's of note, Steve again of 1,500.
Steve Richardson: Yes, and Dave maybe to provide broader context at the offset here, we're seeing very active pipeline early renewals. We've completed about a 180,000 square feet of 2017 and 2018 renewals. The one Joel referenced specifically, we are trading papers. So it's beyond just discussions. We expect that to have that completed the next quarter. And we've got another 100,000 feet beyond that where we're in active discussions for early renewals as well. So pretty strong trend.
Operator: And our next question thus come from the line of Jamie Feldman with Bank of America Merrill Lynch.
Jamie Feldman: I guess just first housekeeping. When during the quarter did you guys raise the equity?
Joel Marcus: It was overtime Jamie. I don’t -- it was relatively small.
Jamie Feldman: It was over the course of the quarter?
Joel Marcus: Pretty much.
Jamie Feldman: Okay. And then can you -- looking at the investments on the balance sheet, it looks like the balance has come down since the last quarter. Is that a change in valuation or did you sell some? How do we think about the move?
Joel Marcus: A little bit of both, but as you know, the valuation of Biotech and life science generally have been moving around quite a bit I would say that it did Jeff -- as of March 31st, it recovered about a month later and it's scaled back a tad. So net-net there has been decent movement, just from a valuation perspective, and it's purely the publicly traded securities we're discussing. We did realize about 11 million of proceeds during the quarter. So we did have some of the gains during the quarter, but the bulk of it had just to do with the changes in stock price. I would say as Steven mentioned there is healthy activity in the market, broadly, some of which includes our underlying investments and I would guess that in the near term you'll see some large mark-to-markets coming into the public portfolio soon.
Tom Andrews: Yes, if you look at page 52 of the sup, you get a snapshot of what we have publicly, and at the moment our net unrealized gains are about 3x of our cost. And then out of the private side as Steve mentioned, we have made an early investment in a company called Stemcentrx which occupies East Jamie Court and that return could be as high as 25.
Jamie Feldman: Okay. And then as we think about your future development pipeline, any kind of early thoughts on what you might start relatively soon?
Steve Richardson: Well I think if you go to page of the sup, we've kind of expanded at page 41, our key future projects and we try to give a little bit of context with some renderings et cetera. We don’t have any plans at the moment I think as I said last quarter to initiate any new developments. We did obviously move vertex to active, but at the moment our pipeline is strong, it's full, it's highly leased and we don’t see any reason to start any new projects.
Jamie Feldman: Or as you think ahead to next year and your growth prospects and the strength of your markets, do you think you would start as many projects in 2017 as you did in 2016?
Joel Marcus: If you come to Investor Day, I'll tell you.
Jamie Feldman: Okay. You're going to make we wait that long.
Joel Marcus: Of course.
Jamie Feldman: Okay. And then you made some pretty positive comments that 100 Binney, not a loose campus, pretty well committed. Can you just give some more color there?
Joel Marcus: Well I think in Nodulus [ph], Dan, you could give a little color on what’s the activity there. It's been very strong.
Dan Ryan: Hey Jamie, it's Dan. Yes, we’ve been really pleased. We just signed a letter of intent with a major Japanese firm to take roughly 30,000 square feet of a 35-65 building. So that will only leave about 10,000 square feet there. And we executed a letter of intent on Friday with an existing tenant to expand and take the 25,000 square feet of availability there. So we’ll be 100% here in the next 30 days or so.
Joel Marcus: And Tom maybe comment on activity on 100 Binney, which seems to be these days pretty extraordinary actually.
Tom Andrews: Yes. We’re down to the short strokes on approximately 110,000 square foot lease with a public biotech company that's in the Cambridge market currently. And it has a lease expiration that they need to deal with. So that’s moving toward completion. And then we have on the balance of the space which is about 110,000 square or 2.5 floors, we’re starting to see more and more activity, even though the space is going to be deliverable for -- until really or occupied until really calendar '18. And it's interesting that we’re seeing 30,000 and 40,000 square foot requirements nearly two years out from occupancy date requesting proposals from us. So as I mentioned earlier, we’re sorting through and trying to figure out the best prospects to engage with and that will play out over the next several months.
Joel Marcus: Yes. I would also put a footnote on that. Bristol-Myers has half the building. The other half is still uncommitted, in various stages of discussions et cetera. But we’ve been told that we will have likely two credit tenant RFPs for as much space as we can provide them. So there is no shortage of demand in the market for that building. And there is no competitive first in class project coming to fruition at the moment.
Operator: And our next question does come from the line of Sheila McGrath with Evercore.
Sheila McGrath: Joel, I was wondering if you could give us an idea of how the rents at 75-125 Binney compare to 100 Binney now a couple of years later, and how the construction costs have moved? How the rents look then and now, and then constructions?
Joel Marcus: Yes. So I'm going to maybe give an opening. Then I’ll let Tom talk about it. But I think it's fair to say we did reach a high watermark when we signed ARIAD back a couple of years ago, and I think today we’ll be reaching a new high watermark with 100 Binney. But I’ll let Tom discuss the comparison of both and some of the construction cost situations.
Tom Andrews: I think Sheila, the rents have moved. I don’t have a figure directly in front of me. But about $10 a square foot on a GAAP basis so the average rent over the term from when we struck a deal with ARIAD to where we are right now, I would say that we have offered -- and able to offer somewhat less dollars in TI allowance for the -- in connection with that increased rent. So, again if you adjust it for TI dollar commitment, it's an even better move up. In terms of the cost, I think some people -- I saw some comment related to the extent of particularly 100 Binney, and one thing to recognize there is in the Bristol-Myer, situation where we have a landlord build, we do have to carry the cost of the tenant’s investment over and above the TI allowance as part of the basis and the property. So I think you see high number there because of that, more than anything else. Although construction costs have been increasing, I would say they have -- they certainly have not increased faster than rents have.
Sheila McGrath: And then just on 75-125 Binney, there was some talk in the market that ARIAD looks to put more sublease space back to market. Is there any update there?
Tom Andrews: We have heard various things. They are building out nearly -- I’d say over 75% of the space that they are leasing and they're nearing completion with that build out, leasing about 25% of their direct space, and this is exclusive of the IBM Watson space. So this is about 215,000 square feet that they have not subleased. They’ve been building out that space. The current information we have from them is that they intend to occupy but they are -- we know that they are entertaining some discussion with sub-tenant prospects, particularly on the non-build out portion of the space.
Sheila McGrath: Okay. One last quick one on, any thoughts on 1 Kendall Square? I think that was hitting the market for sale, if there is any update there? And if you had any interest in the property?
Joel Marcus: Yes, we've seen the flier and that’s all we seen. So we don’t know much more than that at the moment.
Operator: [Operator Instructions] And our next question does come from line Rich Anderson with Mizuho Securities.
Rich Anderson: Just a quick one on San Diego. Has there been any additional thought about looking Downtown, or is there any the first kind of firm up the role, and point north before you would even consider that type of move?
Joel Marcus: Yes, maybe I'll open that and then ask Dan to comment. I think we see that there is still a lot to do as you can tell by our activity up in Torrey Pines and University Town Center, centers the Alumina campus, the Campus Pointe campus. So we have our hands pretty well occupied with a lot of moving parts and that trying to capture as much as the quality demand in that market as we see. I think we've certainly paid attention to what's going on Downtown but I don’t think that it is necessarily as ready for prime time as some of the other locations if you look at the Mission district in San Francisco or some of the early activities. I don’t think you see them at the same level but Dan, you can comment on me ground.
Dan Ryan: Yes. I think Joel summarized that pretty well. We have been looking around down there quite a bit. I email Joel every other week with a new idea, most of which I get a no, but we think that long term there is a probably natural extension for what we're doing down there but it's probably midterm out four, five years before we probably pull the trigger or something like that.
Rich Anderson: Can you comment on the stuff where he said yes?
Joel Marcus: I've never said yes.
Dan Ryan: Mostly I just get a note back saying will you lease the Lilly space and quit bothering me.
Rich Anderson: And then a broad -- a bigger picture question, talking about not adding to the development effort at this point, with kind of a to choose from later on. What is your comfort level in the next three or four years of the development pipeline as a percentage of your total assets?
Joel Marcus: Yes, I think as Dean mentioned our target has been, and this also for our desire to upgrade to -- get upgraded to BBB plus rating, somewhere in the 10% to 15% range, and I think the Dean on your end our target is.
Dean Shigenaga: Yes, we're hoping to be closer to the 10% number by the end of this year.
Operator: And our next question is a follow up question from the line of the Manny Korchman for Citi.
Michael Bilerman: Its Michael Bilerman. Joel, the Company's efforts to go global clearly didn’t pan out, I think the way you sort of envisioned many years ago. Is there sort of any circumstances, or any scenarios that you could foresee yourself trying to do it again, or has this sort of experience now, sort of made you completely focus on the U.S.?
Joel Marcus: Thanks Michael, I think that that’s true. I think the U.S. market has come a long way in the decade since we started in Asia and Europe back in kind of the '05, '06 range. I think there was a feeling that India and China would hold half the world's population and could be really great markets. I think some day they will be, but they are still I think too early for prime time. And you can tell. As Dean mentioned, we have almost $50 million in currency losses. I think it's hard for companies in the real estate sector to focus heavily on overseas operations. I think that, that given our footprint, given our high quality, really amazing campus locations and tenants, there is no reason now to think about overseas, whether it be Europe or Asia. But if you go back pre-crash, those were pretty interesting markets and I think the markets here in the United States, we're still in the process of evolving, but they've come an awfully long way in that decade.
Michael Bilerman: So what we need to change, either internationally in the U.S. for you to -- look there is currencies, there is political, there's so many other risks out there than going global, let alone just the time and the effort -- of your time and efforts, and your team's time and effort in making it matter. So could you envision a scenario where we could be talking about doing this again, or is it just completely off the table?
Joel Marcus: Yes, I think it's completely off the table. I think that over the next medium the longer term we look at newer markets in the United States, because there are markets here that are interesting, but again maybe not ready for prime time. Think about New York where we won RFP back in 2005, and here we sit a decade later with a campus. But these efforts are literally a decade long effort, and we worked hard, not only things you guys see in the supplement, but an amazing amount of work at the cluster level, to really bring those clusters along. So I think there is no way that I could see, foresee going overseas again. I think it would be expansion in the United States.
Michael Bilerman: Right. And then just I don’t know if you have it handy, but outside of the impairment charges that were taken this quarter, do you sort of have, a sort of total U.S. dollars invested internationally, whether it was China, India, Scotland, Canada and any other R&D market, sort of the total expensed dollars that you invested, and ultimately what you expect U.S. dollar wise to get back just to sort of get at the financial sort of, go around?
Joel Marcus: So well, I think in Scotland we acquired options on land, that we’re able exit that land and recoup our investment, and I think make some money from that. In Terrano we obviously were involved in the March project early on and we structured that and we reported our exit from there and what happens. So I think that’s -- those two have been fully disclosed. We haven’t really done anything else outside of China and India, and I think China and India are pretty well documented in the supplement. So there is nothing else out there that I’m aware of.
Operator: And at this time, there are no further questions in the queue. I would like turn the call back over to management for any closing comments.
Joel Marcus: Okay, thank you very much. We closed early and we appreciate your time and a busy earning season. We'll talk to you for the second quarter. Thanks everybody.
Operator: Thank you very much. Ladies and gentleman that all concluded conference for today. I do thank you for participation. You may now disconnect your lines at this time.